Operator: Good day, ladies and gentlemen, and thank you for standing by, and welcome to the CF Industries Holdings, Incorporated's Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session and instructions will follow at that time. As a remainder, today's conference maybe recorded. It's now my pleasure to turn the conference over to Dan Aldridge, Director of Investor Relations. Sir, the floor is yours.
Dan A. Aldridge - Director-Investor Relations: Good morning and thanks for joining us on this conference call for CF Industries Holdings, Inc. I'm Dan Aldridge, Director of Investor Relations, and with me are Tony Will, our President and Chief Executive Officer; Dennis Kelleher, our Senior Vice President and Chief Financial Officer; Bert Frost, our Senior Vice President of Sales, Distribution and Market Development; and Chris Bohn, our Senior Vice President of Supply Chain. CF Industries Holdings, Inc. reported its third quarter 2015 results yesterday afternoon as did Terra Nitrogen Company, L.P. On this call, we'll review the CF Industries results in detail and discuss our outlook referring to several of the slides that are posted on our website. At the end of the call, we'll host a question-and-answer session. As you review the news releases posted on the Investor Relations section of our website at cfindustries.com and as you listen to this conference call, please recognize that they contain forward-looking statements as defined by federal securities laws. Actual results may differ materially from those projected as a result of certain risks and uncertainties, including those detailed on slide two of this webcast presentation and from time to time in the company's Securities and Exchange Commission filings. These forward-looking statements are made as of today, and the company assumes no obligation to update any forward-looking statements. Now, let me introduce Tony Will, our President and CEO.
W. Anthony Will - President, Chief Executive Officer & Director: Thanks, Dan, and good morning, everyone. I'd like to start by acknowledging the outstanding effort of our people to keep themselves and each other safe. Our safety performance reflected in our reportable incident rate has continued to improve and, at the end of the third quarter, was a new all-time best rate of 0.80 incidents per 200,000 work-hours. Safety is a hallmark of operational excellence and something we focus on every day. It is a critical component of our implied license to operate and it is gratifying to see our team continue to improve our performance. This is notable in itself, but all the more remarkable, because in addition to our regular operations, we have thousands of extra people on our sites working to complete our capacity expansion projects, along with several scheduled plant turnarounds. I would like to thank all our employees and contractors for the focus and safety leadership they've demonstrated to contribute to this great result. CF Industries reported EBITDA of $256 million for the third quarter and over $1.4 billion for the first nine months of 2015. The third quarter is seasonally our slowest quarter of the year and this year in particular had a lot of noise running through the numbers. Looking a bit more deeply into our results, you will see that the EBITDA for the third quarter was remarkably similar to third quarter of 2014 after giving effect for certain distinct items. Most notably, unrealized mark-to-market losses on natural gas hedges, transaction costs related to the deals announced during the quarter, and gains from the remeasurement of GrowHow, along with a few other items. As you can also see from the slide – from the data on slide 21, EBITDA for the first nine months of 2015 is largely unchanged from our nine-month results for 2014, after normalizing for the non-operating item noise in both periods. I'll now turn the call over to Bert and Dennis to go through the details of the quarter, and then I will wrap-up with an update on our strategic initiatives. Bert?
Bert A. Frost - Senior Vice President, Sales, Distribution, and Market Development: Thanks, Tony. The global fertilizer market has continued to be very competitive and the supply of fertilizer has been heavily impacted by new exportable global production and lower ocean freight rates. During 2015 and through the third quarter, the devaluation of multiple currencies only exacerbated this situation. Chinese government devalued their currency during the third quarter. This devaluation, along with less expensive coal and ocean freight, help to push the international price of urea lower. However, over the last few months, China has been reducing its exports. This decline has also been evidenced in the last three India urea tenders, which saw lower Chinese producer participation. Additionally, over the last few weeks, several large curtailments of urea facilities have been reported in China. The weak ruble continues to give incentive to Russia nitrogen producers to export rather than to supply domestic Russian demand. Prices are higher outside of Russia, and payment in dollars is more advantageous than in rubles. The Brazilian real also continued its decline during the quarter and has had a negative impact on the urea market, where Brazilian imports are down nearly 38% year-over-year. In North America, the third quarter is traditionally a lower demand quarter as farmers focus on the fall harvest and manufacturers build their inventories in anticipation of the fall ammonia application and spring fertilizer seasons, this year was no exception. While all these factors have led to a depressed pricing environment, we believe pricing is beginning to stabilize and that we have reached the seasonal floor of anthracite coal-based production in China at around $250 a ton delivered to the U.S. Gulf. Sales volume for the third quarter was 3.2 million tons. Production volume was heavily impacted by the turnaround and refurbishment at our facility in Woodward, Oklahoma. The facility was offline for 75 days during the quarter, impacting year-over-year production by approximately 200,000 tons combined of UAN, ammonia and DEF. We entered the third quarter with adequate levels of ammonia inventory after a very robust first six month shipment pace. The new Donaldsonville urea plant was expected to start production in the third quarter, and, therefore, consume most of the excess ammonia inventory position. However, the urea plant will come on later than expected. Coupled with the previously scheduled downtime of upgrading capacity to Donaldsonville, these drove higher levels of net ammonia than usual and we made the decision to sell spot ammonia into lower-priced export markets. During the third quarter, we completed the successful UAN fill program that was launched late in the second quarter. We were able to book over 3 million tons for the campaign at healthy netbacks. Ammonium nitrate continued the trend of lower demand that began in 2014. The third quarter is normally a slow demand period for AN in North America, and 2015 is proven to be especially challenged. However, we were able to maintain an adequate ammonium nitrate production rate in the Yazoo City by utilizing the export channel. In the United Kingdom, AN is also experiencing slow demand, but is more of a seasonal issue and we expect there to be good agricultural demand going forward. We're optimistic about the future of North American AN given our supply agreement with Orica that will be starting in 2017, as well as continued growth in the United Kingdom. The fundamental demand characteristics for nitrogen are strong. In North America, nitrogen fertilizer demand is expected to be slightly higher in 2016 with about 15.7 million tons of consumption. The harvest is progressing, ammonia applications have begun, and the current returns for the 2016 crop based on new crop futures favor corn plantings. As a result, CF now expects 2016 plantings to be 90.5 million acres, which is 2.1 million acres higher than the current year. We have an appropriate level of inventory of product that we believe is well positioned to support our customers' needs for the fall ammonia application and spring season. Along with stabilizing prices and lower imports, this could lead to better than expected pricing for the fourth quarter. We expect to be well positioned to sell all that we can produce. Now, let me turn the call over to Dennis.
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Thanks, Bert. Beginning this quarter, we have changed our segment reporting, moving from four segments; ammonia, urea, UAN, and Other to five. Ammonium nitrate will now be reported as its own segment. Prior to this change, ammonium nitrate was part of the Other segment. This is as a result of its greater role in our portfolio with the addition of the former GrowHow assets in the United Kingdom. In the third quarter, we generated $256 million of EBITDA on sales of $927 million. This compares to $338 million of EBITDA on sales of $921 million in the third quarter of 2014. As Tony discussed, EBITDA results were lower than the prior year period due to a few distinct items. First, our cost of goods sold was affected by an unrealized mark-to-market loss on our natural gas hedges of $126 million. Second, we incurred $37 million in costs associated with our acquisitions. Third, we had approximately $15 million in costs related to the expansions of our Donaldsonville and Port Neal facilities. And finally, these were partially offset by a gain of $94 million related to the remeasurement of our investment in GrowHow. During the quarter, we also recorded approximately $30 million in other expenses for certain items. These items included $17 million in fixed cost absorption related to the turnaround and refurbishment at our Woodward, Oklahoma facility. There were also approximately $6 million in costs related to the financing of the OCI deal. The expansion projects are progressing well at both Donaldsonville and Port Neal. We announced an increase in the projected capital costs of roughly 10% versus our previous estimate of $4.2 billion. The main factors driving the estimate up are the finalization of engineering drawings later than we anticipated and the productivity of our contractors. As engineering has been completed, we have found that the actual construction quantities required to complete the projects exceeded earlier estimates provided by the engineering contractor. Increases in quantities result in more labor hours required to complete the job. And because we have placed a priority on schedule, that also means more craftsmen, more extended shifts, and lower productivity than originally expected. However, we now have virtually all of the engineering work completed, so the uncertainty going forward at least with respect to quantities of materials has been significantly reduced. Weather and labor productivity will continue to be variables in the equation, but we are beginning to see the finish lines, particularly at Donaldsonville. Including the estimated cost increase, the projects are still expected to generate after-tax returns in the mid-teens, which is well above our cost of capital. This is because our initial financial forecast assumed a forward gas strip much higher than the gas strip available today. Additionally, when we did the original project economics, we used a conservative nitrogen price forecast for the first several years of project operation. For the full year 2015, we expect our total capital expenditures to be approximately $2.6 billion. This consists of approximately $2 billion for the capacity expansion projects and approximately $600 million of sustaining and other capital expenditures. In the third quarter, the company repurchased 358,000 shares for approximately $22.5 million, bringing shares outstanding down to 233 million as of September 30, 2015. Including shares repurchased during the first two quarters, this brings the company's year-to-date share repurchases to 8.9 million shares, for approximately $527 million. During the quarter, we completed a $1 billion private placement of senior notes. We intend to use the proceeds to fund our capital expenditure programs and for general corporate purposes. In the third quarter of 2015, the average realized cost of natural gas purchased by the company for North American operations was $2.77 per MMBtu, a 37% decline year-over-year. The average realized cost of gas purchased by the company in the United Kingdom in the third quarter was $6.43 per MMBtu and gas in the United Kingdom continues to trend downward as the effects of lower oil prices filter into liquefied natural gas prices and long-term gas contracts indexed to oil. The overall average realized cost of natural gas purchased by the company in the third quarter was $3.07 per MMBtu. During the third quarter of 2015 we did not enter into any additional hedges for the balance of 2015, but added to existing hedges for 2016 and 2017 in addition to initiating hedges for 2018. These hedges and the fixed basis differentials we have in place for our Port Neal and Courtright complexes have taken significant amount of cost risk off the table. For additional detail on the company's natural gas hedges, please refer to the natural gas table in the appendix of the earnings release. With that, Tony will provide some closing remarks before we open the call to Q&A.
W. Anthony Will - President, Chief Executive Officer & Director: Thanks, Dennis. Our performance financially has been very solid in 2015, particularly so given the significant headwinds we have faced; a challenging global market where abundant supply has pressured product prices, currency exchange rate moves that have either helped some foreign producers become more cost competitive or made it more challenging for some importing countries to buy product, and concerns over the commodity sector in general. Even in the face of these difficulties, our results for the quarter and the first nine months of 2015 were essentially unchanged from our 2014 results after normalizing for a few non-operational items. This continues to demonstrate the strength of our business model and the enduring advantage we have from plentiful low-cost North American natural gas. If you refer to slide 11, you will see a table that shows various EBITDA outputs for the standalone CF business after our capacity expansion projects come online, as a function of our realized cost of natural gas and our average realized selling price of nitrogen products on urea equivalent basis. You can clearly see that we remain highly profitable over a very wide range of market conditions. On a trailing 12 month basis, our average realized gas cost was $3.07 per MMBtu and average realized urea equivalent price was $343 a ton. What this shows is even with the challenging market conditions over the past 12 months, this business is very profitable and generates a significant amount of the EBITDA. Regardless of all the noise going on around us and the fears in the market, those who take more than just a cursory look at our performance will recognize the following in controvertible fact. Our business continues to run well and we continue to deliver the EBITDA. I would now like to pivot from the quarter and speak about the bright future ahead of CF Industries. Over the last few months, we have announced several strategic moves, which will deliver significant growth in our cash generating ability. The completion of the capacity expansion projects along with the three major transactions we've announced is expected to increase the production capacity of CF 65% by the end of 2017. All of these initiatives have very attractive individual return profiles with unlevered after-tax returns well above our cost of capital. And when taken as a group, these initiatives are unmatched in our industry and represent an opportunity for significant near-term shareholder value creation. On Tuesday, we announced that the OCI deal has cleared U.S. antitrust review process. This is a major step forward in closing this deal. And upon completion, this transaction will give us the premier global footprint in the nitrogen fertilizer industry and allow us to fully leverage our global assets. We continue to expect that we will close the OCI transaction in Q2 2016. Our transactions with CHS are groundbreaking and should be highly accretive to our shareholders. The product supply agreement provides us ratable off-take from a premier agricultural cooperative with which we have had a longstanding and productive relationship. The deal provides CHS with up to 1.1 million tons of urea and 580,000 tons of UAN at market prices. CHS has $2.8 billion equity investment in CF Industries Nitrogen, LLC, provides them an opportunity for achieving manufacturing economics via dividends, and has validated the strength of our business model and the value it can create. In essence, a highly knowledgeable market participant values the standalone CF Industries business at an effective enterprise value of over $30 billion, even before giving effect to the OCI transaction. On the capacity expansion front, we are pleased to announce that the granular urea plant at Donaldsonville is now mechanically complete and in the process of being commissioned. We will make an announcement when the plant has achieved stable production performance. The Donaldsonville UAN plant is on track to start up in the fourth quarter of this year, and the ammonia plant to follow in early 2016. Port Neal is also progressing well, and we continue to target a startup in mid 2016. Finally, we completed the acquisition of the remaining 50% equity interest in GrowHow which has made CF the largest nitrogen fertilizer producer in the United Kingdom. These operations are well positioned in an import-dependent region, and we are delighted that they are now fully part of the CF organization. Taken together, these initiatives represent significant opportunities for our company and our shareholders. Before I close, I want to reiterate that our philosophy and approach to capital allocation remains unchanged from what we have said and done in the past. As you can see on slide 12, we expect that over the period from 2016 to 2019, we will generate significant excess cash that is unallocated. Our first call on that capital remains investment back into the business, when we can find projects within our strategic fairway that have a risk adjusted rate of return well above our cost of capital. Beyond that, excess capital belongs to and will be returned to our shareholders just like we have done consistently in the past. I would like to thank our entire team for getting us to this point. Many people have worked tirelessly over the preceding weeks and months to move our initiatives forward. We have a very bright future ahead of us, and we are just at the beginning of the journey. With that, we will now open the line to answer your questions. Operator?
Operator: Thank you, sir. And it looks like our first question in queue will come from the line of Chris Parkinson with Credit Suisse. Please go ahead. Your line is open.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thank you very much, and good morning.
W. Anthony Will - President, Chief Executive Officer & Director: Good morning.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Your realized ammonia price during the quarter was still slightly lower than many expected, including us. Could you just quickly comment on any differences in selling patterns here that affected your netbacks? And also, if you expected benefit at all from the recent increases in the Midwest ammonia prices?
W. Anthony Will - President, Chief Executive Officer & Director: Bert?
Bert A. Frost - Senior Vice President, Sales, Distribution, and Market Development: Hey, good morning. This is Bert. And thanks for the question. You're exactly right, ammonia price was lower. When you look at ammonia in the third quarter, it is a non-agricultural application ammonia quarter. We had a little bit that might bleed in from Q2 just for some side-dress, but it's predominantly an industrial quarter. And that was reflected in our result. When you look at the – what drives many of our industrial contracts that would be Tampa-based pricing, which was $460 in July and August and then $445 in September. So, for an average, let's say, of in the $450s. Taken to a short ton, that gets you pretty close to $400, and that reflects a lot of what was driving our numbers as well as gas-based contracts when you have gas in the $220 to $270 range during the quarter, that drove the pricing realization lower. Now, we've exported – as we mentioned in our comments, exported or sold into the spot market around 18% to 20% of our volume and that came at those numbers. And so, when you roll that up, we're in line with what the international markets were, actually higher, but lower, I think, what you all expected.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thank you. And just a quick – a very quick follow up on – in addition to some of the increased costs you incurred during the quarter, it still looks like some costs – on some line items were still fairly bloated in addition to the downtime at our Woodward. Is there any comment on how we should be thinking about your margin per ton production going forward and any additional color – was there anything else that was non-recurring in the third quarter that we should be parsing out?
W. Anthony Will - President, Chief Executive Officer & Director: Well, Chris, remember that unrealized mark-to-market losses on the gas hedge positions rolled through those numbers. So, there is almost $130 million of kind of non-operational, non-recurring cost that show up in those numbers. That's one thing you have to back out.
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Yeah. And there is – yeah, we also had $17 million of fixed cost absorption that's rolled through as well, Chris, during the quarter. So – but just step back from it, Chris, our plants run with the same efficiency they've always run, gas costs, what it costs, and our gas price profile is very good, and the overheads and stuff associated with the plants are not really any different today than they were before. So, no, there hasn't been margin deterioration. If you look at SG&A, it's up a little bit in the quarter, but it's about exactly the same for the year, and that just reflects the addition of – largely just the addition of the GrowHow assets on a consolidated basis during the quarter. And then the other operating net line you see that that moves up and down, but that's mostly just forex moments for the most part, and then costs associated or expense items associated with the expansion projects. So, no, there is really nothing in there a much of a story.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thank you very much.
W. Anthony Will - President, Chief Executive Officer & Director: Thanks.
Operator: Thank you, sir. Our next phone question in queue will come from the line of Vincent Andrews with Morgan Stanley. Your questions please.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Thanks, and good morning, everyone. Could you just – I just want to sort of clarify the return calculation on the new projects. You mentioned that, obviously, gas prices are lower than probably the last time, you stated what the return profile was. But I also kind of remember back from the July 2013 Analyst Day that in that return calculation, you're assuming some improvement in urea prices down the road as you thought that Chinese cost curve is going to go up. So could you just help us reconcile what gas price you're assuming now versus before, and maybe what sort of break-even into the Gulf you're assuming now versus before?
W. Anthony Will - President, Chief Executive Officer & Director: Yeah, Vincent, let me kind of step back and talk about where we sat in 2012 when we made the decision to move forward with these projects. At the time, the forward curve was above $5.50 per MMBtu and that dramatically changes what the profitability of the output of these plants are. We did anticipate at that time based on the number of projects that had been announced and were in flight in Middle East, North Africa, as well as in China that kind of 2016 was going to be sort of a low point in the pricing curve. And so, we had put forward, as Dennis mentioned in his comments, a pretty conservative view of where nitrogen was going to trade over the coming years before it started kind of recovering at the back-end of 2017 and into 2018. And so, nothing really that's happened in the marketplaces is all that dramatic other than the fact that, overall, the global cost inputs for all hydrocarbons have shifted down, but if you look at kind of the effective impact on the margin that we're realizing, it is not that dramatically different. And, as such, there has been a little bit of deterioration particularly in Port Neal, because that's where the brunt of the cost increases have occurred, but the Donaldsonville project is still pretty darn close to where we had made the original calculations for a return on that. And, so as a result, both projects end up kind of solidly in the mid-teens return.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. That's really helpful. Can I just ask you separately, post this whole thing with Volkswagen, does anything change about the diesel exhaust fluid opportunity set over time?
Bert A. Frost - Senior Vice President, Sales, Distribution, and Market Development: Actually, it's going to be positive. We're still following that and we just participated in the energy conference here in Chicago and what the implications mechanically will be for these engines that are out, already in the market that will be recalled, and then for changes to the existing structure of the power unit going forward. So, we do see that as a positive step for DEF. DEF continues to grow in the 30% to 40% range per year. We're actively participating, actively growing – actively growing our production, as we already announced for Courtright and Donaldsonville. And, that's a very positive light for us going forward.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. Thanks very much.
Operator: Thank you, sir. Our next phone question comes from Steve Byrne with Bank of America. Your line is open. Please go ahead.
Stephen Byrne - Bank of America Merrill Lynch: Hi. Thank you. Can you quantify how much ammonia and UAN you sold forward and how are those pricing outlook compared to current spot prices?
Bert A. Frost - Senior Vice President, Sales, Distribution, and Market Development: Good morning. So, for – we don't really give exact numbers, although I did say 3 million tons was done in the second quarter and into the third quarter for the UAN fill program. The fill program is at the end of the season and then that pushes us through generally November, December. We've continued to take sales after the fill program. So, we have a very healthy order book for the UAN, for our UAN position going forward, and are continuing to participate in the domestic as well as the international market. As you can see from our price realization at $241 relative to today's NOLA prices that are published in the publications, we think that's an incredibly positive position, and we're going to continue to build on that. For ammonia, the fall season is just starting; we had a pretty good day yesterday with shipments out, but we're adherents and advocates for the 4R program that the TFI and other industry participants are advocating to farmers. And the crux of that is applying ammonia when the ground temperature is 50 degrees; and today, as we sit in sunny Deerfield, it's close to be 70 degrees. So, we look at the ammonia season as being delayed, but we've got a lot of product sold forward and ready to be applied in November. If you look at the 30-day forecast, which we tend to follow probably every hour these days, you've got positive temperatures in the 50s during the day time into the first week of December. So, we think we've got a lot of runway still to go, and product is positioned. And I think this really gives the advantage to CF. Because of our terminal system, we're able to supply, and we fully supply when that condensed time does take place. And I think this year it could be a week to 10 days that the majority of our ammonia goes out. So we're prepared and price realization, we think, will be positive.
W. Anthony Will - President, Chief Executive Officer & Director: The other benefit, Steve, is it looks like the crop is coming off the fields in about the normal timeframe, are in fact largely off. And so, there looks like a pretty good runway here in front of us for a really strong application season in the fall, given the mild temperature. So we're really pleased with where we're positioned.
Stephen Byrne - Bank of America Merrill Lynch: And if we can roll forward a year in anticipation of the OCI deal closing, what fraction of Donaldsonville production do you think you might be in a position to export with higher netbacks? And how might that vary seasonally and by what product?
W. Anthony Will - President, Chief Executive Officer & Director: So, Steve, I think as we sit here today, based on the dock configuration, we're able to export approximately 50% of the D'ville production. We have enough dock space down there where if that looks like something that we want to increase for a, not that dramatic cost, we can dredge the channel a little bit, do some infrastructure improvements and increase our export capacity. So we've got a fair bit of flexibility in terms of export capability there. I would say, initially we're going to kind of continue to ramp-up versus where we are, but a lot of it just has to do with what is the net kind of – we're not really thinking about it from a netback margin perspective anymore, we're thinking about it from a netback after-tax cash flow perspective. And what we're going to be maximizing is a little bit of a different calculus than what we've done in the past, which was focused on EBITDA and margin. We're going to look at what's the best possible after-tax cash position. And that might, on the margin, lead us to tapping into international opportunities, if they look attractive. But it's really going to be an at-the-moment decision based on the different global market conditions and where we can maximize our cash returns.
Stephen Byrne - Bank of America Merrill Lynch: Very good. Thank you.
Operator: Thank you, sir. Next in line is Don Carson with Susquehanna. Please go ahead. Your line is open.
Don Carson - Susquehanna Financial Group LLLP: Bert, I wanted to ask you about your urea outlook. You commented that you think prices have bottomed here and perhaps stabilizing. A year ago, we're at $312, now we're at about $245, $250 NOLA urea. You hit the trough earlier. Do you see a bounce quicker? I mean, last year we didn't get much of a bounce till early April. So just wondering what kind of – I mean, are you seeing enough attractive forward sale opportunities in urea to put together a decent forward book there?
Bert A. Frost - Senior Vice President, Sales, Distribution, and Market Development: So, right now, you're right, NOLA has been hovering in the $240s, $250s; we've been realizing a different range of price structure based on where we're selling and how we're selling. But I do see some positive things coming, as I mentioned in my comments, with the situation today in China. We expect profitability or lack thereof is for the marginal producer, the anthracite coal producer. But when you look around the globe, we do believe there is sufficient supply available and the cost curve has moved a little bit lower, so we may be stabilizing in that $250 to $285. But I do expect to see some spikes because there is – as we can see from the inventory chain, not a lot of inventory is being built in North America as well as in Europe. And we expect demand to be continued to be strong in India. So there are some good demand points. I don't see Brazil coming back this year. I think, as we said, 38% down year-over-year. I think that we're entering their higher demand season, October, November, December, January for the second crop corn. So, I would say, we'll stay in a range – a little bit range bound this year due to capacity. And then, as Tony mentioned, we're fairly positive going forward in the out-years on what can take place.
Don Carson - Susquehanna Financial Group LLLP: Okay. Thank you. And then shifting to a different subject. On your gas hedging strategy, basically 100% of your needs are locked in for 2016. Is that the philosophy now to lock in all your needs or do you ever want to have some exposure to take advantage of the potential dip in pricing?
W. Anthony Will - President, Chief Executive Officer & Director: Yeah. Don, we haven't really changed our philosophy at all in terms of the forward hedge. As we sat earlier in 2015, we look forward and we could lock most of 2016 at basically $3 flat, and we've been historically criticized for being too slow to lock in gas because people have said it takes risk off the table. When we saw a forward price at $3 for the year, we thought this actually makes a fair bit of sense and we didn't do it all at once, we kind of stepped our way into it over a couple of different tranches. But over the long run, we think $3 is a pretty darn good cost, and generally speaking if you're drilling in dry gas fields we think that's still below the replacement cost of new production and maybe lower than that or substantially lower than that in some of the wet plays, but in a dry gas area. So that was part of the rationale as we thought about locking that position is. As we look forward, we think the 2017 and 2018 curve is under pressure a little bit by where the current storage position is in the U.S. and we would expect demand to continue to increase. So while the positions we're sitting in 2017 and 2018 are underwater relative to where the market is trading today. I don't think they were bad decisions to enter into in hindsight. The other thing I want to point out is, we have not hedged the gas associated with the OCI production. So, between the Beaumont facility and the Wever facility, there is a fair bit of increased gas consumption that we have in North America and that remains completely unhedged and in 2016, 2017, and 2018 as well.
Don Carson - Susquehanna Financial Group LLLP: Thank you.
Operator: Thank you, sir. Next in queue comes from Joel Jackson with BMO Capital Markets. Please go ahead. Your line is open.
Joel Jackson - BMO Capital Markets (Canada): Hi. Good morning. Thanks. Just following on that, I don't know if you're hedged for any gas in GrowHow UK. Can you maybe talk about that and what your strategy for that would be going forward? Thanks.
W. Anthony Will - President, Chief Executive Officer & Director: Good morning, Joel. Yeah, we currently have not hedged gas in the UK, it is something we are spending a fair bit of time looking at and evaluating and, similarly, we haven't done any kind of forward hedges for the gas that we're going to be needing at Geleen in the Netherlands as well. Gas currently in the UK is trading sort of in and around $6 and it's kind of up to $6.50 on the forward, it's relatively flat. So, as we look at that, it's attractive relative to historical, there is good margin to be had at that sort of gas price. And it's something we're looking at, but we haven't jumped into that so far.
Joel Jackson - BMO Capital Markets (Canada): Okay. And just following up on something I think Bert was talking about, so, I mean, the big thing this year has been that NOLA urea is really not trading at any premium to China. Can you really talk about why that is this year? And as the expansions come on in the U.S., when you talk about the $250 to $285, I mean is your view that's the trading range for urea over the next year as opposed to sort of a floor level? Thanks.
Bert A. Frost - Senior Vice President, Sales, Distribution, and Market Development: Yeah, it's an interesting conundrum as we look and watch these markets develop. I think you're just seeing, we're in a time of change and a lot of product has come on and more product will be coming on, and we have to find a balance in the markets. There are times when NOLA has traded below international parity, and obviously we watched that with interest. And when it's above, we want to participate at a greater share. And so, there are some tactical moves we'd like to make internally with where we position product, where we sell and how we sell. But I think, today with – and you look at the paper market and you look at what the forward markets are offering, we seem to be range bound at least through 2015 and I think some of the other changes will come as a result of inventory decisions, buying decisions. But I do see, like I said earlier, some positive points moving forward with demand coming out of – I think increased demand coming out of India. I hope in 2016, we see return to Brazil that plant that's in (38:32) not be operating for years. So the 5 million tons of demand out of Brazil will probably be there and a return to some other markets. And I don't think that Chinese anthracite coal producer can continue at their current rate of production and we're seeing that reflected in operating rates in China. And so, when you look at the 13.6 million tons exported last year, estimating 12 million tons this year, I expect that to slowly wind-down to probably an acceptable rate in the 5 million to 10 million tons longer term, which sets up available options for CF.
W. Anthony Will - President, Chief Executive Officer & Director: The other point, Joel, that I'd like to bring up is, as you sort of rewind the clock, you can look forward and see there was this ongoing tail of new plants that were coming online in China and Middle East, North Africa. That sort of tail, by the time we get to the middle of next year, is largely empty from there going forward. The U.S. plants will be online. Most of the Chinese plants will be completed and operating. So there has been this pretty significant build that's left this overhang of capacity and the marginal stuff swings on and off depending upon where price is. And, as you say, it sort of puts a relative cap on where prices get to before the marginal producer swings back into production again. The global nitrogen demand is growing about 2% per year and that requires four to five world-scale ammonia complexes being brought on every year just to meet what the demand is. And so, as we look forward and the existing capacity gets absorbed into the marketplace, any kind of rebound in the Chinese economy with attendant increase in coal prices there, all of a sudden makes this marketplace shift into a different dynamic from a really over-heavily supplied position to one where there is some price appreciation. So, we think this is kind of the tough area to get through, but even at these ranges we're highly, highly profitable. And as we get into a recovery mode, we'll participate in that very, very nicely.
Joel Jackson - BMO Capital Markets (Canada): Thank you very much.
Operator: Thank you. Next in queue is Adam Samuelson with Goldman Sachs. Please go ahead. Your questions please.
Adam Samuelson - Goldman Sachs & Co.: Great. Thank you. Good morning, everyone. Maybe a question on the ammonia market, want to get your thoughts on what would happen as you get into early 2016 if Iranian sanctions are lifted, and you start to see some more Iranian ammonia onto world markets? And maybe on a related topic, how are you thinking about availability from the Black Sea and Trinidad over the next 6 months to 12 months? Thanks.
Bert A. Frost - Senior Vice President, Sales, Distribution, and Market Development: Yeah. When you look at, that is an issue we're following when the sanctions are lifted. We have already seen exports out of Iran increased by, I think, 1 million tons and that could possibly be a further 1 million tons of urea and not necessarily ammonia. There are discussions we know with some Indian producers to look at possibly putting up a new plant at probably three years to four years down the road, but Iran sits on a lot of gas and then it makes sense for them to monetize that gas and they will be a competitive producer and participant. But I think the ammonia would stay more in the Asia marketplace, and – because that push back Black Sea product or Ukrainian production, not much of that is going there today. And so, looking at your – the second part of your question, what happens to Black Sea and Ukrainian production, a lot of that's going to depends on what goes forward with some of the geopolitical issues there. But I do think that gets backed out, and I think Trinidadian supply continues to move into Florida, into Europe, and maybe even into South America with some of the movements that are taking place today. Ammonia as well, it's – we've hit a low point in the market where Tampa is positioned today. And so, we're continuing to watch that and participate and use the benefit of our terminalling system enable to store product, move product, and participate at a greater degree of the agricultural markets in Q4 and Q2 of next year.
W. Anthony Will - President, Chief Executive Officer & Director: Adam, as we look at Trinidad going forward, we continue to think that gas is going to be in the neighborhood of 10% to 15% curtailments into point leases like it's been over the last year or so. And we don't really see any kind of catalyst for additional production coming online in Trinidad. Given how low ammonia price is and most of those gas contracts are and product linked that the net realized price to NGC and back to the gas producers is lower than the incremental cost of bringing on new production there. So, there is not a catalyst to bring on new production, we think those plants are going to continue to run well below what their rate is capable of running, and that certainly helps from the standpoint of an overall S&D balance.
Adam Samuelson - Goldman Sachs & Co.: Okay. That's helpful. And maybe on a related point. Do you think that as the new capacity in the U.S gets built out as Mosaic starts to source a meaningful increment of their ammonia needs from you guys as opposed to Tampa or the Black Sea that the U.S Gulf has to reflect freight from the Ukraine longer term?
Bert A. Frost - Senior Vice President, Sales, Distribution, and Market Development: I think there are a lot of things driving. That was also a point to change for the industry. Tampa has always been a price setting mechanism for this hemisphere, and you're right, there will be changes, we have almost 1 million ton supply with – combined with our Trinidadian contract for Mosaic. But you have to remember that OCP is also increasing production with their diammonium phosphate, monoammonium phosphate production. So a lot of that ammonia can be sourced from either Ukraine or shooting over from Trinidad, and there have been some of our colleagues in the industry have already signed some contracts for that ammonia supply. So I think it longer term, yes, when our contract starts in 2017 and actually some of our other contracts that position CF well being Orica, and CHS, we think that all those are part of our strategy to position ourselves in what we think is going to be a good market for CF in all the four products.
Adam Samuelson - Goldman Sachs & Co.: Okay. That's helpful. I'll pass it along. Thanks.
Operator: Thank you, sir. Next up is Jeff Zekauskas with JPMorgan. Please go ahead.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Thanks very much. When you allocate your mark-to-market losses for gas hedges across your segments, does one segment or another segment get disproportionately affected or how does one think about distributing the mark-to-market losses across the segments?
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Yeah. The way we look at that, Jeff, just I think a good way to think about it is it's basically – if you think about it around $40 a ton. So for this quarter if you think about the mark-to-market that is embedded in the cost of goods sold for each of the segments, it varies by segment. But if you look at it across the whole business, it's about $40 per ton and it's going to be based effectively on – if you look at the gas content in each of the products.
W. Anthony Will - President, Chief Executive Officer & Director: Obviously, most of that goes into ammonia and then as ammonia rolls into the upgrade, it carries that additional cost with it. So, as Dennis said, it really goes as a function of the nutrient content or the end content in each of the products. So ammonia is going to carry the biggest proportion of that on a per ton basis, and then it's going to work its way down.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. And then, I think Bert was commenting at the beginning of the call that maintenance capital expenditures were around $600 million. And I thought that previously you had spoken of maintenance CapEx as $500 million. Is there a reason why there has been an alteration or these are just round numbers?
W. Anthony Will - President, Chief Executive Officer & Director: Yeah. So, generally speaking, the system that we have today runs on a sustaining CapEx; this is kind of just keep-the-lights-on basis of about $350 million a year. And what we spend about above that, generally speaking, are things that are improvements. So, we're putting about $60 million into the Yazoo City facility in order to be able to convert Ag AN production into industrial grade in order to serve the Orica contract and make sure that we've got that plant fully loaded going forward. We're doing some DEF expansion projects in Courtright and in Donaldsonville, so that we can add capacity for DEF. We're doing some DCS implementations to improve our control environment and safety in a number of our facilities. Those things are on top of it. So as you look – and by the way, a lot of those projects have pretty significant positive return profiles associated with it. So, the $600 million that we're spending next year is kind of all of that stuff bundled together outside of the capacity expansion stuff, of which, kind of $350 million is keep-the-lights-on; the rest of it has a pretty good return profile to it.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. Great. Thank you so much.
Operator: Thank you, sir. Next up is Michael Piken with Cleveland Research. Please go ahead. Your line is now open.
Michael Leith Piken - Cleveland Research Co. LLC: Yeah. Good morning. Just wanted to discuss a little bit about sort of your thoughts on the demand by region, particularly for this fall. I understand the Midwest volumes are probably going to be good with the weather windows. But maybe if you could talk about the Delta, the Southwest and some of the other areas where they've had a little bit more weather issues?
Bert A. Frost - Senior Vice President, Sales, Distribution, and Market Development: When you look at the by-region, generally the Q4 application season is ammonia-focused and we start in Canada and then move south as the weather cooperates. And we've had an adequate season in Canada out of our three terminals as well as our plants, moving that product to the ground. I'd expect – like I said earlier, we've had a pretty good day yesterday, but we're still not at full shipping rates out of the terminals. And so, you'll start seeing the Dakotas and Iowa and Nebraska, places like that, kicking off here shortly. And then, the Kansas, Oklahoma, Texas region already had part of their ammonia season go in Q3, which was focused on wheat pre-plant, and so that's more of a July, August, September application. And as we mentioned our Woodward plant was down, so we were unable to participate in a lot of that shipment season. In Texas and for some of the corn acres, they've had a lot of good moisture and we're pretty pleased to see with some of the rains that have come through. That's also good for the Midwest, which allows ammonia to set, and so with a good moisture profile in the soil, that allows your applications to move forward. In the Delta, I can't really comment too much in that region, we're getting ready for ammonium nitrate in the Southeast, in the Delta region. Other than that, that's pretty much all I can comment.
Michael Leith Piken - Cleveland Research Co. LLC: Okay. Terrific.
Bert A. Frost - Senior Vice President, Sales, Distribution, and Market Development: And then we'll look to Q1 and Q2.
Michael Leith Piken - Cleveland Research Co. LLC: All right. Terrific. And then, if we do end up having a bigger ammonia run as you guys sort of anticipate nationwide, how does that impact your thinking on what UAN volumes might look like in the first half of next year. Thanks.
Bert A. Frost - Senior Vice President, Sales, Distribution, and Market Development: Yeah. When you look at ammonia over time, it's fairly consistent. We're projecting 4.7 million tons. It has been a little over 5 million tons in years past when we were – and we had some higher acres numbers. But we see acres recovering into the 90 million range – 90 million, 91 million. And so, I think with the pricing structure that's available to a farmer and through the retail system, it's pretty attractive to apply ammonia. But we have to think of all the three major products in conjunction, or in – together on an end value. And so you can't get too distanced from what ammonia is for urea and UAN. And we're mindful of that and we're keeping our pricing in line with historical averages. So, we're fairly positive on UAN demand and what will take place for Q1 and Q2.
Michael Leith Piken - Cleveland Research Co. LLC: Okay. Thank you.
Operator: Thank you. Next question in queue comes from P.J. Juvekar with Citi. Please go ahead. Your line is open.
Daniel Jester - Citigroup Global Markets, Inc. (Broker): Hey. Good morning, guys. It's Dan Jester on for P.J. Given the comments today about a bit more inflation in your project costs as you get closer to the finish line, has OCI informed you of any cost increase or delays to their project in Iowa or the methanol plant in Texas, and if so, who would be responsible for addressing those higher costs?
W. Anthony Will - President, Chief Executive Officer & Director: Yeah, Dan, so the contract that we have with OCI, puts an absolute dollar limit cap on the amount of cost that kind of gets transfer to us from the completion, actually both of those facilities. So, we know what the ceiling is in both cases and at least with respect to Wever, my understanding is OCI has a fixed dollar cap limit for the construction piece with the construction company that they're using. So it really, at this point, is kind of on the contractors' nickel once they – there is a little of cushion in there that once they're through that cushion, it's all on the contractors' nickel. So, we're kind of $1 certain in terms of at least the top end of the cost, if it comes in lower than that, it will be a favorable surprise to us. But we're anticipating and modeling and assuming that we're going to bear the ceiling on those costs on those projects.
Daniel Jester - Citigroup Global Markets, Inc. (Broker): Okay. Great. And then, I think we've touched on it a couple of times in the call already, but I just want to clarify is the 12 million tons of Chinese exports that you were thinking about this year for urea, is that a good run rate to think about going into 2016 or is there a possibility that that could come down again? Thanks.
W. Anthony Will - President, Chief Executive Officer & Director: Yeah, when you look at China, every year is an anomaly. When you see the numbers ramp-up from zero tons, 2 million tons, 4 million tons, 8 million tons, 13 million tons, and so, we're modeling this year coming down to 12 million tons. I think based on – again, cost structure market optionality and how we see the market developing, I think, that's a declining run rate. But I'm not comfortable giving you a specific number.
Daniel Jester - Citigroup Global Markets, Inc. (Broker): Okay. Thank you.
Operator: Thank you. And it looks like our next question will come from the line of Andrew Wong with RBC Capital Markets. Please go ahead. Your line is open.
Andrew Wong - RBC Capital Markets: So, in the prepared remarks, I think, you mentioned OCI's close expectation is a mid-2016. Is that any different from prior expectations? And can you just talk about what needs to be done after that – for that transaction to be close? And when the transaction closes, does that mean you can start doing the repurchases right away?
W. Anthony Will - President, Chief Executive Officer & Director: Yeah, Andrew, so the – we've got antitrust clearance now in the U.S. We filed our final filing for European antitrust clearance, and so, really the kind of the long pole in the tent on this whole process revolves around kind of the SEC process from getting the S-4 offering document through the SEC review period – process and having an effective document that we can send to shareholders. As soon as that goes to shareholders as effective, we can post our annual meeting date, or our special meeting date, we'll have the meeting for the vote on both the OCI and the CF side, and then according to Dutch Law, there is a 60-day wait period following the approval of the shareholders for a reduction in capital in the OCI business that gives their creditors a chance to be notified appropriately. So, it's really kind of the wait period between noticing the annual – of the shareholder meeting, having a shareholder meeting and then the 60-day creditor notice that pushes us how we think likely into kind of the Q2 time horizon. Part of that depends upon how quickly we can get through the SEC review period on the S-4. But we're certainly working very diligently on trying to expedite that process as much as possible. And then once we're closed as long as we're not in the dark window or the blackout window around a quarter between sort of the quarter closing and announcing results that type of thing. The window is open and we'll be able to go ahead and initiate share repurchases at that point.
Andrew Wong - RBC Capital Markets: Okay. That's great. And then just switching gears a little bit over to Woodward. I think in the past you've done a really good job minimizing the disruptions from just normal plant turnarounds, but impact from Woodward seemed to be a little bit more material than expected. Was the turnaround longer than anticipated? And going forward, can we expect any sort of guidance around some sort of – the extended maintenance more than the usual type stuff? Thanks.
W. Anthony Will - President, Chief Executive Officer & Director: So on Woodward this year, it was a pretty major turnaround. This was really the first opportunity that we've had to go in and kind of convert the plant over to the CF's standards for doing things. So we implemented a full DCS system in the Woodward plant. We did a complete re-harp of the reformer, and then there was just a fair bit of found work from things that – in the preceding period before we owned the plant had not really kind of been kept up to our standards. And so, as a result of the found work, it did extend a little longer than what was originally planned and the costs were a bit higher that led to then the fixed cost absorption that we had to go through. But our focus is to make sure the plants are safe, make sure we can get high on-stream and reliability out of them, and we feel very good about the state of that plant now on a go-forward basis, so that we'll be able to run it hard.
Andrew Wong - RBC Capital Markets: And any potential for guidance going forward on a sort of like extended turnarounds?
W. Anthony Will - President, Chief Executive Officer & Director: We, generally speaking, don't provide a lot of turnaround information, part of that is because we've managed very carefully kind of what our inventory position is and how we satisfy our customers' requirements and we don't think it necessarily helps to give all of our competitors that sort of detail around how to plan for what our production looks like.
Andrew Wong - RBC Capital Markets: Okay. No, that's fair. Thank you.
Operator: Thank you, sir. And at this time, that does conclude our time for questions. I'd like to turn the program back over to Dan Aldridge for any additional or closing remarks.
Dan A. Aldridge - Director-Investor Relations: Thanks, Huey (59:21). That concludes our call for today. I'm available for any follow up questions. Thanks everybody for your time and interest.
Operator: Thank you, presenters, and thank you to all of our participants for joining us today. This will conclude our call. Thank you. And have a wonderful day.